Operator: Good day and welcome to the Coca-Cola Enterprises' First Quarter 2015 Conference Call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson - Vice President-Investor Relations: Thank you. And good morning, everybody. We appreciate you joining us today to discuss our first quarter 2015 results and our full year outlook for 2015. Before we begin, I'd like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release as well as the detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. This morning's prepared remarks will be made by John Brock, our CEO, and Nick Jhangiani, our CFO. Hubert Patricot, President of our European Group, is also with us on this call this morning. Following the prepared remarks, we'll open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question and we will take follow-up questions as time permits. Now, I'll turn the call over to John Brock.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Thor. And thanks to each of you for joining us as we review our first quarter results and our outlook for the balance of the year. In looking at our results, comparable diluted earnings per share totaled $0.42 with currency reducing these results by $0.11. Currency-neutral net sales increased 4% and comparable currency-neutral operating income increased 4%. It's important to note that the first quarter results reflect the impact of four additional selling days. During the first quarter, we continued to work through difficult marketplace conditions in a soft consumer environment, while managing each aspect of our business. We achieved volume growth of 1% after adjusting for the extra selling days. This was driven by volume growth of 8.5% in Great Britain after a 9% decline in the same quarter last year as well as a 3.5% decline for Continental Europe, which has cycling growth of 3.5% a year ago. Given our first quarter performance and our outlook for the remainder of the year, we affirmed our 2015 guidance. This includes comparable currency-neutral diluted earnings per share growth in a range of 6% to 8% with slightly positive growth in both net sales and operating income. Importantly, we're focused on improving our growth outlook as we move through the remainder of the year. Our growth outlook is fueled by two key factors. First, we are optimistic about the marketing initiatives, the innovation, and the operating strategies that we have in place for this year. Second, we have a demonstrated ability to manage our business effectively in a challenging environment, which is coupled with a strong commitment to driving shareowner value. Our 2015 marketing plans includes several initiatives that focus on our Coca-Cola trademark brands. We are commemorating the 100th anniversary of the contour Coca-Cola bottle with the introduction of a new 500 ml PET package featuring an embossed Coca-Cola logo, a larger label, and a distinctive red cap. And as I mentioned previously, we are rolling out a new One Brand strategy, which will bring a common identity to our Coca-Cola trademark portfolio. With this approach, every Coca-Cola can and bottle will carry the same unique style, building on the equity of the iconic Coca-Cola imagery, including the script and the ribbon to unify the trademark. In addition to new packaging, we'll retain each brand's familiar signature colors and clearly highlight the differentiating features available with each product. Also Coca-Cola's trademark theme will transition from Open Happiness featuring one red bottle to Choose Happiness, a brand family. Choose Happiness features the full Coca-Cola trademark range and puts choice at the heart of our trademark strategy. We will also continue to build brand equity for Coca-Cola Zero, which remains one of our fastest-growing products and for Coca-Cola Life, which has now been successfully introduced in each of our territories. Coca-Cola Life is performing in line with our expectation and continues to have a promising outlook. Beyond this, Coca-Cola trademarks specific activation. The Rugby World Cup will be an important event. It will provide a significant market-based promotion in late summer and early fall. Our calendar also includes our Coke with Meals campaigns throughout the year (5:47) and holiday programming. We are also building on key brand innovation initiatives. To compete more effectively, it's increasingly important to continue to expand our portfolio to seize growth opportunities. For example, Finley, a low-calorie sparkling citrus non-alcoholic beverage was launched in Belgium and France last year and has now been introduced in Sweden. In addition, we're continuing to expand the distribution of smartwater within Great Britain and it's already gained solid immediate consumption share within the water segment. We're continuing to build and expand Capri-Sun, which had solid volume growth of 7% in 2014 and is off to an excellent start in 2015. We will launch new flavors in existing territories, introduce a no sugar added version in Great Britain, and we'll begin distribution in Sweden this summer. We continue to enhance our operating strategies with a solid commitment to strengthen our execution by capturing evolving marketplace opportunities for growth. At the store level, initiatives are in place to target small basket shoppers and we will continue to partner with our customers to expand our presence in the growing discount and digital channels. Another key initiative is to increase visibility in cold channels by adding new cooler placements and executing with more focused outlet activation. In total, these initiatives are essential to our success in achieving our ultimate goal, which is driving increasing shareowner value. In keeping with our proven commitment to this goal, we expect to repurchase approximately $600 million of our shares in 2015. Including dividends, this will result in the return of approximately $850 million to our shareowners. These are meaningful actions in keeping with our strong focus on increasing shareowner returns for the long term. Now in closing, let me share some key thoughts. First, while we recognize our operating environment remains challenging, we remain optimistic about future opportunities for growth. We will continue to work to seize these opportunities and improve our long-term growth outlook. Second, our disciplined financial approach enables us to maximize the effectiveness and efficiency of our operations and is focused on long-term profitable growth. Third, we have a proven ability to manage our business effectively, to adopt our plans and to utilize the levers of our business to deliver shareowner value. We also have a solid strategic partnership with the Coca-Cola Company and a shared vision of the future of our business. And perhaps, most importantly, CCE benefits from a talented and deep management team and the industry's most skilled, dedicated people throughout our company. They enable us to execute against our strategic priorities at every level of our business and to maintain our focus on our most important objective: delivering shareowner value. Thanks, again, for joining us. And now, I'll turn it over to Nik.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Thank you, John. And we appreciate each of you taking the time to be with us today. Let me start by discussing our results for the quarter in a bit more detail and our outlook for the remainder of 2015. Looking at the quarter on a reported basis, first quarter diluted earnings per share were $0.40 and on a comparable basis were $0.42. Currency translation reduced earnings per share by $0.11 compared to prior-year results. Net sales were up 4%. This reflects reported volume growth of 6.5%, which includes four additional selling days and a decline of 2% in net pricing per case. Additionally, cost of sales per case declined 2%. Our operating expenses increased 3%, with operating income being up 4%. These figures are comparable and currency-neutral, except for volume, which is on a reported basis. After adjusting for these four extra selling days, comparable volume increased approximately 1%. Please note that our financials are not adjusted for the additional selling days. Further, this will have no impact on the full-year results, as we will have four less selling days in the fourth quarter as we have disclosed earlier. Now let's turn to our 2015 full-year guidance. We continue to expect diluted earnings per share growth in a range of 6% to 8% with slightly positive net sales and operating income growth, all on a comparable and currency-neutral basis. Currency translation will continue to impact our results, and based on recent rates would reduce full-year 2015 earnings per share by just over 18%. We also continue to expect 2015 free cash flow in a range of $600 million to $650 million with capital expenditures of approximately $325 million. Let me note that currency translation headwinds have increased, and this impacts our free cash flow and capital expenditures. However, given our focus on driving free cash flow, we're working to offset the translation impact through efforts such as improved working capital. That said, we have affirmed both of these targets today. For 2015, weighted average cost of debt is expected to be approximately 3% and the comparable effective tax rate for 2015 is expected to be in a range of 27% to 28%. Let me make a few additional comments on our outlook for 2015. First, as we often discuss, our long-term goal is to maintain and opportunistically expand our gross margins. For 2015, we expect net sales per case to be slightly above cost of sales per case, enabling some gross margin expansion. Second, our 2015 operating plans continue to demonstrate our solid commitment to delivering share owner value. We recognize the need for sustained value building growth, and know that our current outlook does not reflect our long-term growth objectives. As John mentioned, however, we believe there are long-term opportunities to enhance our growth outlook, and we're working diligently to realize those. And third, we will also continue to generate significant free cash flow, which in 2015 is equal to approximately 6% of our recent market cap. Over time as we achieve improved levels of growth and maintain an optimal capital structure, we believe the amount of cash available for disciplined merger and acquisition activities or to return to shareowners will continue to increase. In short, we remain fully committed to returning cash to shareowners in driving increasing levels of shareowner value. In February, we raised our annual dividend for the eighth consecutive year, this time by 12%. In the first quarter, we repurchased approximately 300 million of our shares and expect to purchase approximately 600 million during 2015. Based on our current outlook, we remain in a favorable position to continue to create shareowner value. Our demonstrated ability to effectively manage each of the levers of our business, our outlook for the year and the strength of our balance sheet, will contribute to this confidence. Now just to highlight a few points around the sequencing of our results. Our first quarter EPS result was slightly ahead of our expectations in February. This was influenced by several factors. First, it is a small quarter and small changes can have a larger percentage impact. And second, though our top line showed some softness, we had some favorability in the timing of expenses. These factors combined with our outlook for the remainder of the year have allowed us to affirm our full year guidance. One change as I referred to earlier is currency translation, which at recent rates now represents a headwind to comparable EPS growth of just over 18% versus the 16% we shared with you in February. Let me conclude with a few comments. First, we remain realistic about the soft consumer environment and overall conditions remain difficult. In addition, we're aware of the impact from currency translation and we are monitoring the situation closely. Second, we have a solid history of and a commitment to managing the levers of our business to deliver value. This is even more important in today's environment. While we continue to look for ways to improve our outlook today, we have affirmed our full year guidance for net sales, operating income and diluted earnings per share on a comparable and currency-neutral basis. Third, we have a flexible capital structure that provides significant opportunities with regards to acquisitions, returning cash to shareowners, and ultimately creating shareowner value. And finally, we're focused on generating cash and creating consistent long-term profitable growth, a combination that we believe will deliver increasing value and drive improving shareowner returns. Thanks for your time. And now John, Hubert and I will be happy to take your questions. Operator?
Operator: Thank you. Our first question comes from Nik Modi with RBC Capital Markets. Your line is now open.
Thor Erickson - Vice President-Investor Relations: Nik?
Operator: Please check your mute button.
John Franklin Brock - Chairman & Chief Executive Officer: Nik, we don't hear you.
Thor Erickson - Vice President-Investor Relations: I think let's move to the next question.
Operator: Our next question comes from Nicolas Ceron with SocGen. Your line is now open.
Nicolas J. Ceron - Société Générale SA (Broker): Yes. Good morning. I have a question on Innocent. It looks like most of the Coke innovation in still, but also in CSDs now is going through Innocent rather than through you. I was just wondering if we should expect in the future that competition between you and the Coca-Cola Company to continue or if you believe that at some point the two companies should be somehow reunited?
John Franklin Brock - Chairman & Chief Executive Officer: Let me just say that we watch carefully and follow carefully what Coca-Cola is doing with Innocent and we've had a variety of conversations with them about opportunities of working together. So far that hasn't emerged to something that works for both of us, but I think we'll continue to have those conversations and at some point I think it's entirely possible that we might conclude that there's something there for us to do together. In the meantime, I would say we are very happy with the innovation pipeline that the Coca-Cola Company has put together. If you look at what we've been doing over the past 18 to 24 months with innovation, particularly last year or last 12 months, some very exciting things. Again, that we're very pleased with whether it's smartwater or Coca-Cola Life or Finley a very robust innovation program. Thank you.
Nicolas J. Ceron - Société Générale SA (Broker): Okay. Thank you.
Operator: Our next question comes from Ian Shackleton with Nomura. Your line is now open.
Ian M. Shackleton - Nomura International Plc: Yeah. Good morning, gentlemen.
John Franklin Brock - Chairman & Chief Executive Officer: Hi, Ian.
Ian M. Shackleton - Nomura International Plc: Love to dig a little bit more into the pricing. You're posting a minus 2% here. I don't know whether you can separate that out a little bit between price and mix and obviously I'm assuming now you've completed all the price negotiations in the key market, but that probably isn't reflected in that number. I mean, how should we think about that for the rest of the year?
John Franklin Brock - Chairman & Chief Executive Officer: Let me ask Hubert to comment first on the pricing situation from a commercial standpoint and then Nik can give you a little color commentary on the balance of the year.
Hubert Patricot - President-Finance European Group & Executive VP: Good morning, Ian. At this time, we expect flat to slightly positive full year pricing and this will take into account several factors. First, prior year orders. Pricing last year was the highest in our first quarter, so this was our toughest quarter as far as pricing hurdle. And as you may recall Ian, last year in the first quarter of 2014 it was a transition period for us in GB as we move our largest package in the home channel the 2-liter into a 1.75-liter contour bottle. And so, during that time, promotions were limited to facilitate a clean transition. Second, the customer and consumer environment continues to be challenging this year and it was even more so during the first quarter in France due to our annual pricing negotiations. Now the good news is that this has been concluded and we are looking forward to working with our customers in 2014. But this was clearly an additional headwind in our first quarter revenue pricing. But while our joint customer plans are in place, all our plans, including promotional plans are still subject to some change during the year reflecting on the market dynamics.
John Franklin Brock - Chairman & Chief Executive Officer: Okay. I think we've covered the whole question there, so nothing further from Nik is necessary. Ian, do you have another question?
Ian M. Shackleton - Nomura International Plc: Can I just follow-up there? Because it – I mean it sounds like the pricing negotiation probably have gone quite well, certainly as well as you expected them to. And I know you have had an issue with the Schweppes products being taken off the shelves at Tesco. Are you fairly happy that you got all the products back on the shelves now?
Hubert Patricot - President-Finance European Group & Executive VP: Yes.
John Franklin Brock - Chairman & Chief Executive Officer: Yes. We're very happy. It's been resolved in both France and GB and we're pleased with the outcome of the discussions.
Ian M. Shackleton - Nomura International Plc: Very good. Thank you for that.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Bill Schmitz with Deutsche Bank. Your line is now open.
Bill Schmitz - Deutsche Bank Securities, Inc.: Hi, guys. Good morning.
John Franklin Brock - Chairman & Chief Executive Officer: Good morning.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
Bill Schmitz - Deutsche Bank Securities, Inc.: Hey, are you seeing any pick up in immediate consumption as some of the QE stuff comes through and obviously gas prices are lower, because obviously there's probably a decent margin mix opportunities that happen?
John Franklin Brock - Chairman & Chief Executive Officer: Hubert?
Hubert Patricot - President-Finance European Group & Executive VP: Yes. I would say it varies by country, but if you take GB, yeah, we see some improvement in immediate consumption and people starting to go out more often than they used to do in the past two, three years. And we are really watching on this opportunity and the launch of smartwater, which is our water for GB, which is targeted to IC consumption is a good sign of it. So, yes, there are some positive signals. Not in all our countries, but for sure in GB.
Bill Schmitz - Deutsche Bank Securities, Inc.: Did you guys give numbers? Can you just tell me what the immediate consumption was up versus future consumption in the quarter?
Hubert Patricot - President-Finance European Group & Executive VP: It's still more driven overall by future consumption than immediate consumption. But again, variation by country.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay, great. And then can you just talk about how you think the whole, and I don't want to call it a pricing war, but the pricing battles in GB plays out because it seems like Britvic and Pepsi were the aggressors last year. I know you guys are kind of switching course and taking pricing down this year. Is that just sort of like a cat and mouse thing? Or how do you think this ultimately settles out?
John Franklin Brock - Chairman & Chief Executive Officer: Let me just say that we've kind of assumed that the pricing metrics and mechanics that were in place last year from a competitive situation are going to broadly continue. And so we've developed our program, our whole price promotion program in GB in such a way that it works for us and while we'd always like to see some changes on what some of the other players out there are doing, we're not making any assumptions around any changes that will take place.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay, that's helpful. I think it's kind of – it's almost like an anomaly globally for a developed market to not have positive price mix. Isn't that kind of fair if you look at strategically what Coke wants to do?
John Franklin Brock - Chairman & Chief Executive Officer: Yeah. I think you need to take a look at this as one quarter. We've said from the very beginning that this year for us is a year that's more volume driven than pricing driven. We've been very upfront about that. I think in terms of where we are, I mean the development of our markets and the plans we develop jointly with the Coca-Cola Company, we're comfortable with that kind of approach. And I think that it's going to work for us this year. I don't think the overall broad-stroke plan we had developed and designed for this year is necessarily indicative of the approach we'll take consistently year after year. It's the right plan for this year.
Bill Schmitz - Deutsche Bank Securities, Inc.: Great. Thank you so much.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Bill, I'd just make two comments on your question. One, in terms of the pricing point that you just made. Remember, as Hubert has said, pricing in the first quarter from the perspective of what we were hurdling, this was the toughest quarter because if you remember what happened in GB last year, Q1 as we really were moving through that transition period. And then to your question around immediate consumption and future consumption, just keep in mind the profitability differential is not necessarily as large as you might see in the U.S. So while we continue to be focused on growing that, our FC profitability is still very respectable and good too. So keep that in mind.
Bill Schmitz - Deutsche Bank Securities, Inc.: Great. That's helpful. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay.
Operator: Our next question comes from Steve Powers with UBS. Your line is now open.
Steve R. Powers - UBS Securities LLC: Hi, guys. Good morning. Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Hi, Steve.
Steve R. Powers - UBS Securities LLC: Maybe just to follow-up on Bill's question on GB just a little bit more into press. What's the risk that conditions there could drive downside to the full-year outlook on pricing that Hubert had referenced? Because while I hear and respect the comments you made, it doesn't seem like either you or Britvic are relenting at this point and I guess I'm a little bit skeptical as I look ahead that things ease. So, can you make me more comfortable there?
Hubert Patricot - President-Finance European Group & Executive VP: Yes. Steve, overall, we see the category as growing and expandable for both our customer and us, and we continue to expect the environment to remain competitive, yet we think it's going to become rational over time. And looking at 2015, yes, we think it's going to still be a competitive year, but we have important marketing asset that we will be leveraging in 2015 in GB. Rugby World Cup will be the most important. And frankly, we're going to also invest in innovation as we are doing. So it's going to be a combination of promotion activity, yes, but also innovations and again, on the mid and long-term we think that competitive environment will become more rational.
Steve R. Powers - UBS Securities LLC: And that rationality, is that something that you lead, or are you waiting for them to lead?
Hubert Patricot - President-Finance European Group & Executive VP: We are always focused on our business in terms of building value for our customer and our shoppers, and so we plan to have the right approach for the GB market. And again the launch last year of the 1.75-liter large PET is part of an overall strategy to offer a range of different pack, 1.75-liter, 1.25-liter, multi-packs, again, to give different price points in the market and to build with our customer with very targeted pack alternative for different shopper missions, a value creation story. And this is what we're working on right now with all our customer.
Steve R. Powers - UBS Securities LLC: Okay. Thank you. And if I could, Nik, just to switch gears, you're a bit more aggressive with the buyback this quarter than (27:00) prior comments and the full-year guidance, especially in light of a fairly heavy CapEx quarter for Q1. So anything specific that drove that decision in the quarter?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah. I mean I think given our business outlook, we had planned repurchases to be a little more weighted towards the first quarter in line with what we ended up doing, which was $300 million. I would say to you, as we've guided we continue to expect the $600 million in share repurchases, but I would indicate to you don't expect it to continue at the Q1 pace. And then on your question around CapEx, I think that's a part of our concerted focus and effort to make sure that we're not rushing through at year-end to catch up with some of our spend and ensuring that's actually coming through a lot more evenly through the course of the year. So very much as planned, don't actually read into that, but the Q1 pace is what you're going to see through the remainder of the year. Still committed to the $600 million for the full-year.
Steve R. Powers - UBS Securities LLC: Okay, that's very helpful. And then, is there anything that you're doing specifically to keep that free cash flow guidance in place in spite of the FX headwinds and then I'll turn it over? Thanks.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Strong focus on working capital, as I referenced to and I would say to you that's an opportunity for us as I've highlighted and we're going to go after that more and more aggressively.
Steve R. Powers - UBS Securities LLC: I appreciate it. Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Caroline Levy with CLSA. Your line is now open.
Caroline S. Levy - CLSA Americas LLC: Thanks very much. Hello, everybody. A lot of questions have been touched on. But your corporate expenses, a lot of them are in dollars and yet you had a 10% decline. Is that something you think you can keep up a tight control there?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Caroline, we obviously are always focused on trying to manage that. But I would say to you that's really just much more timing related than anything else.
Caroline S. Levy - CLSA Americas LLC: So they may actually be up a bit just given they're still in dollars?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: They will be, correct.
Caroline S. Levy - CLSA Americas LLC: Okay. And then...
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: But that's factored into our full-year guidance.
Caroline S. Levy - CLSA Americas LLC: Great. And then is the currency going to be worst in the second quarter? Or have you gone over your worst hurdle already?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: I think the currency will continue to be an issue in Q2 and for the rest of the year, but the hurdles get easier as we go through the year.
Caroline S. Levy - CLSA Americas LLC: Including Q2? Not quite as bad?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: So Q2 will not be as bad as what you saw in Q1, but you will have impacts, but it will continue to come down. As we've guided, we are talking about circa that 18% impact on the full-year EPS.
Caroline S. Levy - CLSA Americas LLC: Great. Thank you. And then just two quick ones would be the introduction of the 500 ml, is that this coming quarter? And on average then, is that taking your size of package up or down, on average versus what you sell? And then just secondly if you could update us on any change since Monster has become the approved energy drink for you guys?
Hubert Patricot - President-Finance European Group & Executive VP: Caroline, just to clarify, we have not introduced the 500 ml. We changed the packaging as part of the One Brand strategy. So it's a different packaging, more attractive packaging for the shopper, but it's not an introduction. And then related to Monster, we are really pleased with our portfolio in energy drinks. We had a good growth this quarter and there is no change for the moment in the relationship between KO and Monster. But what we can say as CCE is that Monster is a fast growing brand for us and we're going to take over the distribution of Monster in Norway, so basically we will have now Monster in all our countries and we are very pleased with that.
John Franklin Brock - Chairman & Chief Executive Officer: And just to reiterate, we said before, we are very pleased with the relationship that the Coca-Cola Company and Monster have struck. And we already had a great relationship with Monster, but I think this new arrangement just makes it easier and more straightforward to really work all together to drive both our Coke business as well as our Monster business. So it's a net win for the system.
Caroline S. Levy - CLSA Americas LLC: Thank you.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Caroline, just back to your question on currency, just to be clear so that everybody has the same information. Second half is less than the first half in terms of currency impact. It does peak in Q2, so that will be slightly higher than the impact you've seen in Q1, based on recent rates. Now, obviously, that might move or change, but this is our best information as of today.
Caroline S. Levy - CLSA Americas LLC: Great. Thanks so much.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Bonnie Herzog with Wells Fargo. Your line is now open.
Bonnie L. Herzog - Wells Fargo Securities LLC: Good morning.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Morning.
John Franklin Brock - Chairman & Chief Executive Officer: Hi, Bonnie.
Bonnie L. Herzog - Wells Fargo Securities LLC: I was just hoping you could talk a bit about the stepped-up marketing support and funding of your brands by Coke that started early this year in your markets. I guess, I was curious to hear what type of impact you are seeing so far and then how much runway you think there could be on this. Also, do you think the spending level so far has been sufficient?
Hubert Patricot - President-Finance European Group & Executive VP: Yes, Bonnie. We are very pleased by the increased investment from the Coca-Cola Company. And it goes in different aspect of our business. First, yes, there is an increased support above the line with the launch of – especially of the One Brand campaign and also the 100th anniversary of the contour bottle. So you see the media budget, the advertising budget with a share which is more and more important going into digital growing versus previous year. So this is clearly helping us in our discussion with our customer and, of course, it's going to have an impact with the shoppers. The other piece in which the Coca-Cola Company and ourselves are investing more is innovation. And John mentioned Coke Life, Finley, smartwater and here is, again, we see an increased focus and increased investment by the Coca-Cola Company. And frankly, this is what it takes to grow in the current environment.
Bonnie L. Herzog - Wells Fargo Securities LLC: Right. So just to emphasize, you are just getting started, so this is just the beginning and you expect things to continue to ramp.
Hubert Patricot - President-Finance European Group & Executive VP: Yes.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. That's helpful. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Judy Hong with Goldman Sachs. Your line is now open.
Judy E. Hong - Goldman Sachs & Co.: Thank you. Good morning. So first, just in terms of the Easter impacting Q1, I know Coke had called out for their broader volume performance, so if you can just quantify how much that helped your volume in Q1. And then secondly, Nik, just in terms of your COGS per casing down 2%, I know the comparisons get tougher as the year progresses, but is it just really a timing issue? Can you just give us an update on your COGS outlook? And to the extent that you get some more favorability there, is it your intention to put that back into the marketplace, just given your focus on top line this year?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes, sure. So just in terms of Easter, again, when we talk about Easter, we're not just talking about the day, right. We're talking about the whole selling period leading up to Easter. So Easter in 2015 was April 5, which all fell into Q1 primarily. And in 2014, it kind of was fully in Q2 because of the April 20, 2014 Easter date. So while it did have an impact on our results, it'll not obviously impact our full year results just in terms of shift. But it's very difficult for us to quantify the exact impact and I would just say there's several factors that always come into play. So it's difficult to isolate that. In terms of COGS, we continue to expect flat COGS per case for 2015. So, as you rightfully said, as I highlighted, the Q1 2014 was our easiest comp for the year. We will continue to look to maintain any flexibility in relation to incremental investments in key areas, as you said, to drive top line growth with anything that we might get in terms of additional favorability through the COGS line.
Judy E. Hong - Goldman Sachs & Co.: Okay. And then Nik, you had also called out some timing of the SG&A expenses helping Q1. Can you just give us details on what that was? And is it just a shift in terms of the timing?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah. I would say keep in mind, again, Q1 is small, so it does get impacted by smaller shifts that might occur, so it's really very much timing related. And, again, we've affirmed our full year guidance, so it's just a question of quarterly shifts.
Judy E. Hong - Goldman Sachs & Co.: Okay, got it. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from John Faucher with JPMorgan. Your line is now open.
John A. Faucher - JPMorgan Securities LLC: Thank you. Good morning, everyone. Wanted to ask two questions about uses of cash. The first is I know shareholders are very happy that you guys have kept your buyback guidance the same despite the reduction in earnings. So as we look at it – and I realize this is very theoretical right now – but if the euro did rally here versus the dollar and you got some relief on the FX side, when would you look at potentially increasing the buyback sort of, again, given the fact that you've left it here despite the fact that currency has moved down? And then secondly, on the M&A environment, obviously a lot of chatter here. What do you think are sort of the key catalysts that need to happen for, let's say, broader movement in the European bottling system in terms of potentially deals happening? Thank you.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Sure. I'll take the first question and then I'll hand it over to John. So I think your question in terms of what we indicated on our share buybacks is spot on from an angle that despite the fact that it had an impact on our leverage, we have committed to maintaining that $600 million number. I would say to you, obviously, if the currency continues to move and as business outlook might change, depending on how things continue to move overall, we would continue to reassess that, but I couldn't give you any indication on that today. And we're still very much committed to being in that 2.5 times to 3 times range that we have talked about previously. I'll hand over to John for the M&A question.
John Franklin Brock - Chairman & Chief Executive Officer: John, I'll just say in terms of having more consolidation of some kind in European bottling, we're strategically interested in that and have been ever since the formation of new CCE five years ago. I'm not sure there's any particular catalyst out there that is going to be that important. I think it's just a matter of the various parties, whenever that happens, getting their heads together in such a way that it makes not only strategic but financial sense for everyone. And so we obviously have discussions from time to time as appropriate. And when we have something that fits, something that meets all of our financial criteria and, similarly, I think something that would fit anyone else's financial criteria, I can assure you we'll be ready to talk about it. We would love to see something happen and when we have something to talk about, we'll assuredly come tell you.
John A. Faucher - JPMorgan Securities LLC: Got it. If I can ask one follow-up on that, which is there's a lot of discussion in the investment community about sort of developed versus developing and emerging and sort of whether those markets belong together or separately, what have you, do you guys have any sort of general thoughts in terms of sort of the developed versus the developing and emerging and how that should play out and where your interests lie? I mean, you guys have historically said just developed, right?
John Franklin Brock - Chairman & Chief Executive Officer: No. No, we haven't. What we've historically said is our number one priority would be to expand in what you could call broadly contiguous territories, which, of course, for us would mean Western Europe. We've also said there I think is some very clear logic in saying, you could say a second priority would be to expand in other somewhat nearby areas, whether that's Central or Eastern Europe, but similar kinds of areas. And we've even said, I think pretty consistently, that having some sort of investment in a developing market is definitely something that we would consider at the right moment in time, the right bottler, the right price. It's not as high a priority for us, but again, mergers and acquisitions tend to be opportunistic most of the time as opposed to totally strategic. And so, if the right opportunity came along and we applied our methodology to it and it really looked like something that would create shareowner value, clearly we would not reject it out of hand just because it was a developing market as opposed to a developed market. I think it's also fair to say, we recognize, we've got a lot of management team experience here with developing markets and we understand that the core competencies that would be needed are pretty substantially different. So if we did that, we would only go into it with our eyes wide open.
John A. Faucher - JPMorgan Securities LLC: Got it. Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: You're welcome. Thank you.
Operator: Our next question comes from Ali Dibadj with Bernstein. Your line is now open.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey guys. Just three follow-ups, one on the previous question and your answer. In terms of when you think about the opportunities out there, I mean, you guys have been pretty vocal about wanting more turf, I think appropriately so given how you operate your current turfs. What things do you think have to change for those opportunities to arise? Is it that the microenvironment gets better for some of the bottlers? Is it family thing, I mean, what opportunities do you think you're waiting for, for the situation to change? And at this point, would you argue that M&A potential is higher or lower than it was say a year ago?
John Franklin Brock - Chairman & Chief Executive Officer: No, I wouldn't necessarily argue it's higher or lower. And I think it's impossible to say what are the things that have to change, I think what has to happen, it's not necessarily a change, what has to happen is we just have to find an agreement that works for whatever parties it is that we're talking about here. And I think the Coca-Cola Company has said from time to time, they'd like to see some further consolidation in Europe and we applaud that. We've said the same thing. And we will have something to talk about and fill you in on when we have something to talk about. I don't think there's anything, though, that's cataclysmic or necessarily paradigm shifting that's going to cause this to happen or not happen. It's just going to basically be when we can come up with something that makes sense for everybody.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. That's helpful. Hubert, on your price increase for this year when it's all said and done, can you give us a sense of how much of that is mixed versus how much of that is rate? Is it 50-50 or something different than that?
Hubert Patricot - President-Finance European Group & Executive VP: No, it's – Ali, it's mostly rates, not to say 90% rates. So it's rate driven for the year.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Okay. And then my last follow-up is more of a process question. We all know and are waiting to hear more about the instance price negotiations or discussions you may have with Coke by the end of this year. What's the process for that? So when does that start? Is it kind of an ongoing thing or is there a date where you guys get locked in a room and you have to come out with an answer? I mean how does this process work and some sense of timing throughout this year would be great, please?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Sure, Ali. No real mystery to it. This is an ongoing discussion that we've been having. I think it's more to, as I've indicated to several of you before, see is there is ways to kind of simplify or streamline the current agreement that we have, particularly with a couple of factors such as time lag issues, et cetera. So we are in discussions. We're working on that. And I would say to you, you will probably continue to hear from us at the right time when we have something agreed to talk about.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: All right. So there's no stretch (43:53)?
John Franklin Brock - Chairman & Chief Executive Officer: Yeah, the other thing, of course, to keep in mind is the agreement that's in place which ends at the end of this year, automatically renews unless we mutually agree to change it. So it's a fairly relaxed situation in which we find ourselves.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: You said no need to filibuster, so to speak.
John Franklin Brock - Chairman & Chief Executive Officer: No.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: No.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Okay. Thanks.
Operator: Our next question comes from Bill Marshall with Barclays. Your line is now open.
William Marshall - Barclays Capital, Inc.: Thank you. Good morning, everybody.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
John Franklin Brock - Chairman & Chief Executive Officer: Good morning.
William Marshall - Barclays Capital, Inc.: I just wanted to follow-up quickly on your net revenue guidance for the year. So if I'm hearing everything you're saying correctly, it sounds like you could see some positive pricing as we move through, and I know you said it's going to be a volume-heavy year. And then, John, you talked about some improving – an improving outlook in the sales pace as we head through the year. I just was curious when you reiterate the slightly positive guidance, maybe I'm splitting hairs here, but it sounds like things could get a little bit better as we move through. And I'm wondering does volume start to fall off a little bit from what we saw in the first quarter?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah – hey, listen. I think we have indicated we expect net sales on a comparable and currency-neutral basis to grow slightly, to be slightly positive. And as you rightly said, we expect our volume growth to be higher than pricing, and hence our pricing is essentially flat to slightly positive there. So with that top line and our COGS expected to be roughly flat, obviously we have some operating expense growth, particularly from the perspective of investments that we're making in digital and marketing, et cetera that kind of allows us to guide toward that slightly positive operating income growth. And then keep in mind we have interest expense on our debt that is higher versus prior year. Our outlook for taxes is slightly higher versus last year, just given the shift of the – or mix from our territories. And then our share repurchase. So I think that kind of gives us our EPS growth of 6% to 8%. So I think it's important just as we have provided this guidance that we're always looking at ways to improve our growth algorithm and growth outlook. And so, I think Q1 was in line with our expectations and in line with plan. We talked about some shifts from a timing perspective in terms of some of the expenses, et cetera. And importantly, we are just starting to get geared up for the summer selling season.
William Marshall - Barclays Capital, Inc.: Perfect. Thank you. And just quickly one last on Coca-Cola and Coke Life. If you could just give us a sense of where you're sourcing volume from on this brand? How the consumer is reacting to it, specifically in the context of it being kind of a mid-cow and with the history with mid cows going back. How Coke Life has been performing and how you see the outlook going forward? Thank you.
Hubert Patricot - President-Finance European Group & Executive VP: Yes. We have no Coke Life in all our countries. We launched this year in Belgium, in the Netherlands, and in Norway. And the product has been well received in all our countries. And so in some it's earlier than in other, but early indicators from customers and shoppers seems to give good figures in terms of post-trial purchase and sales in general. So we're pretty encouraged. We still need to continue with the Coca-Cola Company to invest about this variant of the One Brand strategy. But so far, really in line with our expectations. In terms of cannibalization, which is your second point, it's also in line with our forecast and expectations. But net-net the good news, it's a gain for us and in truth it's also a gain for the total category. So delivering of what we wanted to have.
John Franklin Brock - Chairman & Chief Executive Officer: Okay.
Operator: Our next question comes from Mark Swartzberg with Stifel, Nicolaus. Your line is now open.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks. Good morning, gentlemen. I think, Nik, a couple for you. One is just a little more on the subject of COGS and your outlook there. You're sticking with this flat view, which is clear. But as we kind of get under the hood there, if you will, how does your outlook, if at all, how is at all different versus February when you reported fourth quarter?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: I would say at this point it isn't. We continue to guide towards a flattish COGS per case. As I highlighted, Q1 was our easiest hurdle. And so we continue to remain, let's say, positive about potentially what might come from some of our unhedged commodity exposure, which is primarily PET, which as you know is in some ways linked to the price of oil, but is not a direct one-for-one correlation. So I think that's the area that we continue to remain optimistic about if there might be some positive news on that front. But, otherwise as you know, we deploy our hedging strategies to mitigate our risk and our guidance has factored that in.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Fair enough. Does that – does that – that seems to imply, and I think some of your comments here already suggest that when you think about what's going to help your share, in any given market you're putting comparatively more weight on the PET version of your products than the aluminum. And of course the aluminum has its obvious and an important role. But on a relative basis is it fair to think that what's selling at the shelf is getting more emphasis more so PET wise than last year, for example?
Hubert Patricot - President-Finance European Group & Executive VP: I think we have to look at GB as, again, in perspective of what happened last year, which again very limited promotional activities on large PET in Q1. Moving forward, the two are going to be balanced between all packs, having in mind that in general the large PET is more promoted in general than the cans in our country. But we don't see a change this year versus what we had in all our countries in this area.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Got it, great. Okay. And then, Nik, also obviously QE, with your borrowing situation being what it is, you've got something like $2 billion of euro-denominated notes, most of which expire 2017 or later. There's different variables here right? There's the float. There's the actual rate. There's the duration. But when you look at QE and think about that particular portion of your borrowing, do you think there's an opportunity for refinancing? Are you pretty happy with the way that all looks? Just how are you thinking about that component of your total borrowings?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Listen, I would say to you, if you look at our total mix, we are circa 60-plus% weighted toward euro debt right now and we've got a very favorable cost of debt. I would say to you we've got an attractive profile. We're constantly looking at opportunities. I mean, as you know, we went out a little earlier than planned to refinance the tranche that's coming up for retirement soon. And we were able to both get a very favorable coupon of 1.875%, but more importantly an extended maturity as well to 15 years. So, as those come up, or opportunistically, we continue to evaluate that, and we'll keep you posted. But I would say, overall, we're pleased with our debt profile as it currently stands today.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Because you take what you just said and one could infer that maybe it's not a 2015 impact, but from a multi-year impact, your borrowing costs are going to be better than that average 2.6% you are paying on that portion of your debt. So is that a fair way to think about how you're thinking about refinancing over the next few months and quarters?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah. I mean, I think we will continue to look at it from an angle of what can it do in terms of our total cost of debt and what does it do in terms of our maturity profile and is there something attractive to do out there.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Great.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: So...
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Great. Fair enough. Thank you, guys.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Nik Modi with RBC Capital Markets. Your line is now open.
Nik H. Modi - RBC Capital Markets LLC: Hey, guys. Sorry about that earlier. Actually, all my questions have been answered. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay, Nik. Thank you.
Nik H. Modi - RBC Capital Markets LLC: You got it.
Operator: Our next question comes from Kevin Grundy with Jefferies. Your line is now open.
Kevin Michael Grundy - Jefferies LLC: Good morning.
John Franklin Brock - Chairman & Chief Executive Officer: Good morning.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
Kevin Michael Grundy - Jefferies LLC: A quick question back on pricing. I apologize. Hopefully I'll ask it a bit differently I suppose. So I'm curious if you are getting, at least to this point, the ROI that you'd hoped for with respect to the price investments. In other words, was the 1% volume growth in the quarter more or less in line with what you had been expecting? And then broadly, maybe this is a question for Hubert, with respect to pricing elasticity, have you found that the models are perhaps a bit less reliable, given the changes in the environment, i.e. the weak macro, changes in pack sizes, competitive responses, which have been intense? So maybe you could sort of address those two pieces to the pricing piece. And then, Nik, maybe if you could sort of pile in also to the extent that there is the necessity for further price investment, given the competitive environment, do you feel like you have enough cushion in the guidance – the earnings per share guidance to deliver? Thank you.
Hubert Patricot - President-Finance European Group & Executive VP: Yeah. Let me give you first a macro view on our RGM, our revenue growth management strategy. This is clearly an area on which we are investing, putting in place a discipline and the same kind of tools in our country, including the price elasticity surveys, including the promotional impact studies. And that's why year-after-year and quarter-after-quarter, we adjust in liaison with our customer promotional activities. This has been the case again in GB. We launched a 1.75 liter PET last year. We had some different schemes of promotion with different customers and we looked at it by the end of last year and this year we are going with the best – we think the best and most adequate promotional activities in terms of ROI, as you said, right now. And we are expanding this discipline in all our countries. In terms of pricing elasticity, we don't see major variations, frankly, from one year to the other. It varies by pack, it varies by brand, it varies by country. There is clearly some in GB. Again, that's why we have a more disciplined approach and that's why, to some extent, our promotional activity is more back to normal this year. So that's what we can share on pricing.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Sure. And Kevin, on your question in relation to our full year guidance, I would say to you we always maintain some flexibility, whether it's through our continued focus on OCM, whether it's our continued focus on driving supply chain efficiencies, et cetera, to be able to support the business, to grow the top line, and remain competitive. So there's no real middle of the road or any differences I can highlight to you today on that, but we'll continue to review that as the year unfolds.
Kevin Michael Grundy - Jefferies LLC: Okay. Thank you for that. And just to follow-up quickly, just to be clear, was the 1% volume growth in the quarter, was that pretty much in line with what you had hoped for given the price per case decline?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes.
Kevin Michael Grundy - Jefferies LLC: It was?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes.
John Franklin Brock - Chairman & Chief Executive Officer: Absolutely.
Kevin Michael Grundy - Jefferies LLC: Very good. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Steve Powers with UBS. Your line is now open.
Thor Erickson - Vice President-Investor Relations: Operator, he was already in there, so that may not be live.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Last question I think.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah. I think we have time for one more question, operator.
Operator: Our last question comes from Wendy Nicholson with Citi Research. Your line is now open.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): Hi. Thanks. Nik, my question is about your comments on working capital as potentially being a source of incremental cash flow. And it may not be a big deal, but I've looked over the last couple of years and working capital as a percentage of sales and particularly your receivable days have crept up. So I'm wondering if there is anything structural in the business or in your business mix that has led to that increase. And how much of an opportunity? Can you go back to the kind of 1.5% of sales and working capital? Is that a long-term goal? It could be a couple of hundred million bucks of incremental cash flow, I would think, if you could attack that. So if you can talk about where you see the opportunity specifically, that would be great.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Sure. Just to be clear. In terms of what you're looking at from a receivable days creeping up, you need to net that off against our CMAs as well that we have in AP. So when we look at it in totality with what we actually have in terms of customer marketing agreements, that's pretty much been steady, if not actually slightly declining. So what I would say to you is two main areas. For us big, big focus on our own internal housekeeping first, I would say. Both from an angle of making sure on the receivables side, we're getting disputes correctly and appropriately resolved, we're making sure invoices are out the first time correctly. Similarly on AP, being much more focused on supplier reconciliations, more timely follow-ups to get things paid. And then going forward, we also want to look at is there ways for us to optimize what we have in terms of our terms and conditions with both our customers and suppliers. So I think the first point is important, though, in terms of what we feel we can do from a lot of just internal housekeeping and cleanup.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): Terrific. Thanks so much.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: I wouldn't put a number on it right now.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): Okay. No problem. Thanks so much.
John Franklin Brock - Chairman & Chief Executive Officer: Okay. Well, thanks to all of you for joining us today. We appreciate it and we hope you have a fine day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect.